Operator: Good morning. My name is Candace, and I'll be your conference operator today. At this time, I would like to welcome everyone to the SecureWorks Fourth Quarter and Full Year Fiscal 2024 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise and a supplemental slide presentation to accompany the prepared remarks can be found on the company's website. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. At this time, I would like to turn the conference over to Kevin Toomey, SecureWorks' Vice President of Investor Relations. Mr. Toomey, you may begin your conference.
Kevin Toomey: Thank you, operator. Good morning and welcome to SecureWorks' fourth quarter and full year fiscal 2024 earnings call. Joining me today are Wendy Thomas, our Chief Executive Officer; and Alpana Wegner, our Chief Financial Officer. During this call, unless otherwise indicated, we will reference non-GAAP financial measures. You will find the reconciliations between these GAAP and non-GAAP measures in the press release and presentation posted on our website earlier today. Finally, I'd like to remind you that all statements made during this call that relate to future results and events are forward-looking statements based on current expectations. Actual results and events could differ materially from those projected due to a number of risks and uncertainties, which are discussed in our press release, web deck and SEC filings, which you can also find on the Investor Relations website at investors.secureworks.com. We assume no obligation to update our forward-looking statements. With that, I'll turn the call over to SecureWorks' CEO, Wendy Thomas.
Wendy Thomas: Thank you Kevin and welcome everyone. Our Taegis business continued its strong momentum in fiscal 2024. Taegis revenue grew 41% year-over-year with full year revenue reaching 265 million. Taegis annual recurring revenue or ARR now stands at 285 million representing 9% growth over last year. We are well on track for completing our business transformation with Taegis ARR reaching 96% of our total ARR at year-end. Today we are less than 60 days away from a significant positive milestone. The end of life of our non-strategic lines of business and our Q4 attainment of positive EBITDA was another major milestone as we over delivered against our plans on our path to profitability.  I am energized by what we are accomplishing with progress in several areas this past quarter. We have continued the expansion and growing the impact of our partner eco system, growing Taegis average revenue per customer, leading peers by more than 60% on average, advanced our industry leading platform with features and capabilities most valued by customers and partners. And further expanded our margins through cost optimization efforts, leveraging our uniquely scalable cloud architecture and many years of development in automation and AI capabilities. Importantly, our unique open XDR-based approach to driving superior security outcomes is increasingly receiving accolades by the market. This quarter, we were recognized by Frost & Sullivan with a Competitive Strategy Leadership Award in the global XDR industry, a testament to our strategy effectiveness and execution, competitive differentiation, and exceptional SecOps experience for our customers and partners.  The product landscape evolution is accelerating. Last year, average threat actor dwell times fell below 24 hours from four and a half days in 2022. And the pace of technological advancement, which creates opportunity for businesses to grow also makes it challenging for them to outpace the adversary on their own. While ransomware attacks remain the primary threat facing organizations, we are now witnessing the early impacts of AI on threat vectors via deep fakes and increasingly savvy phishing attacks. This means that our AI powered Taegis detection and response platform is more relevant than ever for customers. And our Taegis XDR platform is unique. It was built from day one to be open without compromise and we designed it that way for several reasons.  First, superior threat detection and response. Taegis’ seamless integration with a wide range of technologies and systems stands as a critical advantage, ensuring a cohesive and unified security posture across diverse IT environments. We also see customers with an assortment of security controls, and many of these take time to replace securely. So interoperability is a key to comprehensive and continuously effective threat detection. But detection is insufficient without broad automated response capabilities. Not only does Taegis provide native automated investigation and response playbooks that work in concert across our integrations, but also over 70% of our customers and partners have developed their own playbooks to adapt Taegis automated response actions to their environments. As a result, we see over 6,000 configured playbooks running across all Taegis tenants, thwarting millions of threats in real time.  Second, security at the pace of business. Great security shouldn't hamper the choices organizations make in their next-gen technology investments and architecture design. Taegis is designed to ensure that our customers have a choice, that their security posture can evolve effortlessly with their changing technology investments essential for maintaining an effective defense for any environment. In fact, we recently won a deal with a large transportation agency that chose Taegis to displace an MDR provider as they came up for renewal. Our open approach was an important differentiator, given our platform's ability to bi-directionally integrate and work within not only their existing technology ecosystem, but also with their technology roadmap vision. This customer was impressed by the greater visibility Taegis XDR provides, with the ability to see alerts with context, and to query data directly in a way that their MDR vendor could not, while having live chat access to a security expert when needed. And proactive threat hunting capabilities meant that they could go on the offensive. This customer chose Taegis for its ability to deploy quickly within their existing ecosystem for a more scalable detection and response answer at a compelling predictable cost of ownership.  Third, customer choice. We know for many organizations they operate with mixed security control and sensor environments and we anticipate that they will continue to do so into the future as they experiment and adapt to changing needs. Taegis uniquely gives customers optionality to do so securely. We are unique in taking an open endpoint approach with single agent capability, which allows us to integrate XDR and MDR seamlessly for customers deploying vendors with the majority of the endpoint market, providing the speed and breadth of security coverage they need. Our supportive choice means that customers can work within their own time constraints around their technology evolution with optionality to evolve their security controls, to save vendor spend and management costs at a compelling per endpoint pricing model that has no surprise variable data charges.  As an example, we recently deepened our relationship with a large healthcare company based in Australia. We had deployed Taegis with the parent company, which was able to observe the side-by-side comparison of cost and operational burdens of their subsidiary SIEM Solutions versus our Taegis platform. With the overall value and efficiencies the parent company gained from Taegis, they chose our open platform to display both their MDR provider and SIEM that were forcing them to rationalize the data they were ingesting to keep costs down. We were able to save the team time spent on maintaining customizations of their SIEM, provide 12 months of data standard, and eliminate the high cost of data charges with predictable spend for them. In sum, we continue to meet the needs of customers seeking the best combination of controls to maximize security value and their return on investment across endpoint, network, identity, and cloud. Better outcomes with a sticky yet flexible platform positions us to capture growing demand well into the future.  Since the very beginning, Taegis has leveraged AI to drive automation and efficiency through every aspect of the platform. We combine the best of advanced analytics, artificial intelligence, and machine learning to detect malicious activity that may be missed by signatures, prioritize the threats that matter, automate routine investigations, and respond in near real-time to any advancements made by the adversary. Our competitive advantage in this area is driven by the volume and variety of data we ingest. Combined with the intuition we get from our expert security analysts, that enables the platform to constantly learn and adapt to the adversary. With more than 700 billion security events per day and thousands of real-world SoC investigations conducted every month, Taegis demonstrably protects our customers more effectively than our competitors.  AI is key to enabling Taegis to scale the security talent required to manage detection and response for organizations of all sizes. A few examples of Taegis' AI in practice include our patent pending hands-on keyboard detector that's finding threat actors living off the land even when zero days are used as the initial access vector. Our patent pending alert prioritization system that increased the triage productivity for SecOps analysts using Taegis by over 100% last year. Building on these capabilities, we launched our AI-powered Threat score last quarter, which leverages our alert prioritization system to further reduce alert noise while more rapidly and accurately surfacing critical threats, leading to better security outcomes for our customers and efficiency gains for all. We're also using large language models to help SecOps become even more efficient, automating initial investigation summaries, improving detection logic and decision making, and rapidly normalizing third-party alerts that may be new to the system. Today, approximately half of all Taegis investigations are automated and this is only the beginning. We are continuing to invest in new capabilities through both add-on and native security products to deliver additional value to our customers and give us the opportunity to expand our share of wallet. I'll turn now to our go-to-market progress. We accelerated the expansion of our partner ecosystem over the last year, broadening our reach and addressable market. We now work with more than 400 partners across tech alliances, solution providers, managed services providers, and cyber insurers, including leading providers in each category and we remain committed to supporting and expanding these partnerships globally. For example, we continue to advance our global MSSP partner program in Q4 with the addition of a forward-thinking multinational MSSP headquartered in India. This partner provides services for some of the world's most recognizable brands and saw the need to improve security for their customers and deliver better results for their business by shifting to Taegis from their existing SIEM.  In fourth quarter, we also saw improving levels of sales productivity with our Better Together go-to-market motion. Partner created opportunities were up 20% in Q4 and our partner win rate and sales contribution per partner was up sequentially each of the last four quarters. Our partners are winning more, growing faster and registering more opportunities with us based on the value they see Taegis and our partner programs bringing to their customers. In the fourth quarter, around 90% of global Taegis new logo business was closed with a partner, more than double the prior year period. And the market is recognizing our successful shift to a partner-first approach over the last year. We were recently named to CRN Security 100, recognizing our commitment and work with our partners to protect businesses from cyber threats.  One great example of the success of a great combined win, both for the customer and one of our technology alliance partners is a deal we closed this quarter with a large European law firm. During the proof of value, we were able to quickly demonstrate the increased value to the customer of our combined solution through the power of Taegis cross correlating detections efficiently across all of their data. As a result, they quickly saw fewer but higher fidelity critical alerts. And because of that noise reduction, their team knew they could focus more time elsewhere, advancing their overall security posture and program. Before I shift gears and discuss our drive to profitability, I would like to provide some market context. Demand for our open XDR platform solution remains strong and cybersecurity remains a top priority for C-suite executives. In our conversations with prospects, they see the opportunity for Taegis to scale their spend on both security technology and talent and to reduce the number of security vendors that they manage, while delivering an improved security risk posture and outcomes for their organization. In terms of buyer behavior, we have yet to see any material changes that would indicate a significant change in behavior in the year ahead. It remains an environment with a rational focus on fiscal responsibility with customers continuing to follow more layers of deal review and higher level of approvals in the decision-making process. However, we have not seen any need for changes in pricing or discounting to win deals.  Alpana will discuss our Q4 results and fiscal 2025 outlook in a moment, but it is important for me to recognize the progress on profitability, achieving positive EBITDA in Q4. This is a testament to the hard work of our teammates, growing our Taegis business while completing the transformation of our business model and actively streamlining our cost structure. We are delivering and remain committed to driving sustained growth while improving the scale, productivity and operational efficiencies of our business. As we look to fiscal 2025, I'm excited about the opportunity ahead of us. As I noted earlier, Q1 of fiscal 2025 will mark the sunset of our other MSS business. We announced its end of life just over two years ago, and we have delivered on our committed time frame. This major milestone will alleviate the remaining transformation headwind on our total revenue and EBITDA. We delivered on and are committed to further Taegis gross margin expansion, which we drive in primarily two ways. First, through continued optimization of our cloud architecture while supporting the best customer security outcomes. We carefully consider how we transport, process and store data throughout our platform, with a cost-effective approach to data access speed and resilience. Our engineering team delivers 12 months of data storage for customers standard against competitors who average one month. Yet, we've driven cloud cost per endpoint down nearly 20% over the last two years. Two, our margins also reflect our use of AI and automation to scale MDR delivery. While our Taegis revenue grew double digit last year and customer satisfaction and NPS scores increased year-over-year as well, our spend on SecOps remained flat. In conclusion, demand for our open platform remains strong. We have and will continue to invest in innovations for our Taegis XDR solution to meet the security needs of our customers and partners providing security outcomes at a fully predictable and compelling total cost of ownership. We remain confident that our open without compromise approach, ongoing investments in Taegis, and our growing successful partnerships will ensure Taegis as a platform of choice for organizations to bolster their security posture now and in the years ahead, setting the foundation that will drive our growth. I want to thank our customers and partners for joining forces with us and I deeply appreciate our teammates for their diligence, integrity, and commitment to securing our customers. With that, I'll turn the call over to Alpana to walk through our financial results and guidance.
Alpana Wegner: Thanks, Wendy. Good morning, everyone. I will review our Q4 and full year results for the fiscal year 2024 before I provide expectations for fiscal year 2025. We delivered Q4 total revenue of $89.2 million, above our guidance range of $86 million to $88 million, primarily due to new deals closing earlier in the quarter and professional services revenue. Total revenue continued to be impacted by the wind-down of our nonstrategic legacy business, which contributed to 27 points of the decline year-over-year.  Taegis subscription revenue was $68.9 million, up 15% year-over-year and up 2% sequentially, in line with our expectations. Taegis ARR increased 9% year-over-year to $284.9 million, slightly higher than expectations, we saw a handful of deals pulled forward into the quarter. Average revenue per Taegis customer expanded sequentially to $145,000 driven by higher new logo ARPC and continued expansion of spend by our existing customers. Taegis ARPC remains a premium to both the industry average and to our legacy other MSS average, underscoring the value that Taegis provides our customers. We ended the quarter with 2,000 Taegis customers. While we see an increase in large new customers reflected in our ARPC, the customer count also reflects the decline in smaller network-only customers with ARPC of less than $15,000. As our Taegis pricing is largely on a per-endpoint basis, grouping [ph] endpoint is another indicator of platform expansion. Our endpoint count grew 9% year-over-year in the fourth quarter. Our Q4 operating results were strong, reflecting our focus on operational efficiency, productivity improvements, and cost discipline. Q4 non-GAAP Taegis gross margin expanded 40 basis points sequentially to 73.1% and showed an improvement of 390 basis points versus fourth quarter a year ago, demonstrating the scale and opportunity within the Taegis business, driven by our unique cloud architecture and investments in automation, AI and machine learning. Adjusted EBITDA was $3.8 million, exceeding our guidance of breakeven and improving $23.5 million from Q4 of the prior year.  To recap our full year 2024 results, Taegis revenue grew 41% year-over-year to $265 million and in line with our expectations. Taegis non-GAAP gross margins expanded 380 basis points to 71.7%. The progressive expansion through fiscal year 2024 underscores the scalability of our platform. Non-GAAP adjusted EBITDA was a loss of $28 million, improving year-over-year from a loss of $59 million, expanding EBITDA margins 500 basis points as we balance the topline headwind from exiting our nonstrategic business and managing our cost structure to increase operating leverage. Turning to the balance sheet and capital allocation. We ended Q4 with a strong balance sheet, with $69 million in cash, no debt and an undrawn $50 million credit facility. Cash flow from operations was $11 million in the quarter compared with $9 million in the prior year period, reflecting our improved adjusted EBITDA.  Now turning to our fiscal year 2025 guidance. I'll share some color on what is shaping our full year outlook. First, as Wendy commented, we expect a stable macro-economic backdrop consistent with the past few quarters in the year ahead. Second, this year's cohort of Taegis customers that are renewing is the largest we've seen since the launch of Taegis. While we continue to see positive trends in our already strong customer satisfaction force, we have taken a measured approach to our renewal assumption to reflect the current spending caution organizations they're taking. And third, in terms of our nonstrategic business, we expect other MSS ARR will be zero by the end of the first quarter. We will see a return to sequential quarter-over-quarter total revenue growth in the second half of the year, and the redundant costs related to the nonstrategic business of $4 million to $6 million on an annualized basis will be eliminated in the second half of fiscal 2025.  To help with modeling, we expect operating leverage to be more weighted to the second half of the year, driven primarily by the timing of redundant cost elimination. For the full year of fiscal 2025, we expect total ARR to be $300 million or greater, total revenue of $325 million to $335 million, total gross margins to be 68%, inclusive of Taegis gross margins to be 74%, adjusted EBITDA to be between $4 million and $12 million, non-GAAP EPS to be between breakeven and $0.08, cash flow from operations to be between cash use of $2 million and cash generated of $8 million, and we expect CAPEX to be in line with fiscal year 2024. For Q1 fiscal 2025, we expect total revenue of $83 million to $85 million, adjusted EBITDA to be between breakeven to $2 million; non-GAAP EPS to be between a loss of $0.01 and income of $0.01. Our outlook for Q1 EBITDA also reflects seasonal timing of spend related to benefits and marketing program activities. We expect cash flow to trend lower in Q1, driven by a concentration of cash payments early in the year. In closing, we remain confident in the ability to drive profitability and sustainable growth based on the continued scale opportunity driven by our unique cloud architecture, the delivery of differentiated and better security outcomes for our customers on our open Taegis platform, and the progress we've made in building a strong partner ecosystem. Thank you for joining us on the call today. Wendy will now rejoin us as we begin Q&A. Operator, can you please introduce the first question?
Operator: [Operator Instructions]. Our first question comes from the line of Saket Kalia of Barclays. Your line is now open. Please go ahead. 
Saket Kalia: Okay, great. Hey, good morning guys. Thanks for taking my questions here, how are you? 
Wendy Thomas: Good morning. 
Saket Kalia: Good morning. Hey, thanks Wendy. Maybe I'll start with you, Wendy for my first question. I was wondering if you could just talk a little bit about just the competitive backdrop in the SIEM market. It just feels like there's a decent bit of disruption happening there. How much of the SaaS business here do you think is sort of exposed to that trend and what are you sort of seeing out there as you spend time with customers?
Wendy Thomas: Sure. That time is here. Legacy and Next Gen sense for that matter, haven't ever looked up to the promise because data collection doesn't equate to security efficacy. And they're really just aggregators of data. It's very difficult to maintain those in order to detect high fidelity alerts and they certainly aren't built up for the kind of automated response that Taegis XDR is given the dwell-time that we see, which absolutely requires automation in that process. So from our seat, we view that as a tailwind. Vendor consolidation generally is a tailwind, but SIEMs, I think their time is here in terms of customer requirements and that replacement of that technology is certainly one of the areas where we win a lot of deals not just with solution provider partners, but we increasingly see that with MSSPs who have been running a business where there's still a lot of margin opportunity to move to Taegis XDR in terms of their ability to deliver services at scale, but also just get better results with their customers in terms of security. So we view that as a good tailwind for us.
Saket Kalia: Yes, absolutely. Alpana, maybe for you for my follow-up, it's great to see the transition away from sort of the nonstrategic businesses really come to completion, I think, here in the next quarter or so. I think you answered part of my question, which was, I think the $4 million to $6 million in annual cost that's going to be eliminated, but I just wanted to make sure, is there anything left, right, like -- and particularly, maybe why I asked that question is just the gross margin. I think the gross margin -- the total gross margin will still be below where we will be for Taegis. So can you just walk us through kind of after that sunset happens, what sort of left on the cost side of the equation, does that make sense?
Alpana Wegner: It does. And good morning. Yes, happy to share a little bit about. Once we get past the legacy business transition, our focus from a margin perspective is really around Taegis, which we shared, we're continuing to see opportunity there for continued progressive improvement in gross margins. That's primarily coming from our ongoing focus on AI and automation. We see a lot of opportunity in terms of continuing to be able to deliver high-quality SecOps MDR services but doing it with AI and automation that is helping us get greater leverage there.  And then the second place from a Taegis standpoint would be really our cloud architecture has enabled us to be able to have an effective and cost-effective way in which we transport, process, store data. And so we see continued opportunity there. Those things sometimes take a little time to be able to get the full magnitude but we, in our guidance, taking into consideration what we think is realistic in terms of realization in the current year. The other component of gross margins that you're seeing is also the -- what I would consider the strategic value-add portion of our services business. So we continue to see opportunities, particularly as it relates to strategic consulting, but that will hold a lower margin than what we see from Taegis. So on a mix basis, we've provided the guide on the overall gross margin.
Saket Kalia: Super helpful. Thanks a lot guys. 
Operator: Your next question comes from the line of Mike Cikos of Needham & Company. Your line is now open. Please go ahead.
Michael Cikos: Hey, thanks for getting me on guys. I just had two questions for you. I guess the first, if I could just frame the ARR here and how I'm looking at things and please provide some color. But I know that you guys are citing some deals that were pulled forward. And I just want to get a better sense like if I go back a quarter ago, you guys had been -- had taken down the guidance from $285 million plus to $280 million plus. Here we are a quarter later, and we did $285 million. So that delta, if I think about the outperformance ARR this quarter of $5 million, is that really explaining the pull-forward deals or is there anything more to consider there?
Alpana Wegner: Hey good morning Mike, this is Alpana. Thanks for the question. There were -- I would say it was a mix. We certainly had a little bit of pull forward of deals. We also had as Wendy I think mentioned, we saw a good amount of momentum with some larger-sized deals closing in the quarter. It helped our ARPC, as we mentioned in our comments. We saw a nice increase there sequentially from 139,000 to 145,000. And so I would think the combination of both. We saw a little bit of pull forward activity, and we saw a little bit more of just positive momentum in the fourth quarter.
Michael Cikos: Thank you. Thank you for that Alpana. And I guess a follow-up, it's probably full on you. Sorry, Wendy. Just on the financials again. I know in the prepared remarks, again, you were trying to frame or give us some parameters for the guidance, which I really do appreciate. I think one of the things that kind of struck me and I'm hoping you can kind of tease it out a bit. But with respect to the renewal cohort for Taegis, I think the direct line was you guys are taking a measured approach to renewals. Can you help parse through that, are we expecting any impact whether it's gross retention or net retention, like how should we consider that comment in the context of the guidance that we have today?
Alpana Wegner: Yes, yes. And I'll let Wendy weigh in here, too. She might have a little bit of color to add. But just from a guidance perspective, what we try to do is make sure that we took into consideration what we're seeing from the broader macro environment. We continue to see deal cycle times being stable. We continue to see what I would consider kind of stabilization, but the continued scrutiny around deals, the additional layers of approvals, and just overall a bit of cautionary spend behavior. And so when we thought about the guide in particular around the renewal pool, we took that into consideration as well as on balance and the use of the term measure as we were just trying to be really balanced about. We do have a large amount of renewals coming up this year. That's a function of as you look into our history, you will see, we had some in late fiscal year 2022 and going into fiscal year 2023, we had a significant ramp of new customer acquisition. As those deals are now coming up for renewal, it's creating a larger renewal pool. And just being considerate of the macro environment, I wanted to make sure we put that on balance with what I would say is a strong, we view it to be a strong customer satisfaction and performance that we get from our things like CSAT and NPS. And so we're just being balanced between the two in thinking about our guide.
Wendy Thomas: Yes, I'll just add a little color to that in terms of we do look ahead in terms of customer health scores and SAT scores and NPS and those things, and those continue to be the highest they've been in Q4. So that's a good leading indicator for us. And we still see the demand for the platform and the customer usage on that platform as indicators of how important it is to the security of their organizations. But we are just going into the year ahead with a measured approach looking out for the full year given a big base up for renewal for some of the first time in this journey with Taegis and this, I am just being measured about that.
Michael Cikos: Terrific, thank you very much guys. I will turn it over to my colleagues. 
Operator: [Operator Instructions]. Our next question comes from Hamza Fodderwala from Morgan Stanley. Your line is now open. Please go ahead.
Hamza Fodderwala: Thank you for taking my questions. Maybe I'll start with Wendy, you mentioned how the spending environment has been more or less stable. At the same time, I think customers are looking for more value from their security spend. So maybe just walk us through how SecureWorks is helping deliver good security outcomes, but also driving ROI?
Wendy Thomas: Absolutely. There's a couple of ways that we see ourselves as unique in that approach. And I'll kind of do two sides of the coin. The first side of the coin is that we have a unique approach to pricing that's very transparent, that we have always had fixed end point pricing even though we are securing, protecting and responding across all telemetry types from business systems, from email to [indiscernible] to end point, kind of the whole spectrum. So that pricing is easily comparable in terms of the incremental value that you get. It also doesn't have any variable data charges despite the fact that we stored 12 months of data versus most competitors 30 days, again, tremendous security value in terms of detection capabilities, proactive hunting capabilities because of the way we treat our data, but that pricing incense customers to share that data for better security outcomes. So that pricing remains a strategic advantage and that could not be possible without the cloud architecture that we've built. On the other side, you have to show the value, the security value to customers. So we have spent good deal of this development in terms of the platform itself, being able to show customers in our quarterly security posture reviews, the efficacy of both the detections and response that we've done for them, the times, etcetera. But in comparison to benchmark them against peers in their industry so that they can also translate the value of security to their C Suite, their Board, etcetera, in terms of their risk posture, with the vulnerability perspective as well as the actual protection from detection and response. And we build that into an account management relationship that we've increasingly invested in, especially with larger customers to be able to translate that into evolving constantly with their technology roadmap. Their business priority is perhaps for acquisitions and integration to just make sure that they see that seamless continuation of security value over time because we know we win this business every single day.
Hamza Fodderwala: Got it. That's helpful. And maybe just a follow-up for Alpana. You've been at SecureWorks now for a few quarters. You just gave a guidance for fiscal 2025. I'm curious just to understand your guidance philosophy here. Can you walk us through a little bit more on how you're being conservative, particularly around the renewal assumptions new business, just to give us a sense of whether or not this guidance is more or less derisked as you continue through the last phase of this transition? Thank you. 
Alpana Wegner: Yes. Thank you for the question. And you're right. This is the first annual guide that I'm setting with the company. And Wendy and I certainly partner on it and think both about what we see as the leading indicators within the business as well as the macro and what we do have visibility and predictability into as we've made the transition for our business to the SaaS and a highly subscription-oriented at least from a topline perspective. We've got a good amount of predictability. And from the amount that we don't have predictability into is really where we lean in and use judgment there. I do try and take a balanced approach taking -- weighing in what we have high confidence in versus where is the risk in our plan. And I would say that that's reflected in the guidance range that we've given. And I do also think that we continue to see the opportunity from a balanced approach between growth and profitability. We are very much focused on making sure we're investing appropriately from a growth perspective, both in product innovation as well as in our go-to-market strategy, but getting leverage in the business where we can, as you heard me talk about earlier, particularly around gross margins and even our operating costs, how we think about G&A, where we can get some additional opportunity there but also creating a positive EBITDA in transitioning the business to being how cash flow from operations that gives us -- to fund our own business. And so that is kind of the approach that I take from overall view of the business financially as well as from a guidance perspective. Hopefully that gives you a little bit of color without -- with me being like a new within the organization.
Hamza Fodderwala: It does, thank you. And nice results. 
Operator: Our next question comes from Tal Liani of Bank of America. Your line is now open. Please go ahead.
Madeline Brooks: Hi, it's Madeline on for Tal this morning. Just one question from us. Just going back to the renewal cohort. Are you more worried around growth turn or are you more worried around discounting and pricing pressure, I guess what's driving that conservative there, if you had to pick one of those to be more overweight than the other? Thank you. 
Wendy Thomas: Sure. I can speak to kind of the broad pricing market, if that's helpful. As I mentioned, we do have a unique pricing strategy that I think is very predictable and compelling for customers and our approach to sort of holistic coverage is creating the best security outcomes is something you see on our higher average revenue per customer than our peers, in fact, quite significantly. What we don't see and have not done is make any changes to our discounting strategy or average discounts that we're giving and we see our partners continuing to grow pipeline with us and have higher win rates. So clearly, our pricing with them is providing them the economics that they're looking for. So despite there are sometimes occasional events in the market where competitors try to come in with cheaper free that never works on a sustained basis. So I have never been one to chase that kind of pricing. The fact is most organizations take the purchase of security pretty seriously relative to its potential impact to their business, if it's chosen poorly. So I just don't think that that's a winning approach and that's not been the case. For us, we're really just continuing to look at an environment of -- but I think, as I said, a really rational fiscal assessment of all spend across all vectors for most businesses these days. And so we just want to be measured about what may happen in the macro that we're not necessarily in control of as we look to that pool ahead.
Madeline Brooks: Sorry, Wendy, I appreciate the comments on pricing in general. But I guess I'm just looking for where the conservative in the guidance is being driven around this renewal cohort…
Wendy Thomas: Yes, I'll let Alpana...
Madeline Brooks: Okay, great, thank you. 
Alpana Wegner: Yes. Thanks, Madeline. Yes, and just piggybacking off of Wendy's comments there. I would say that it's not lost on us, the value of an existing customer over losing a customer. So our focus is going to be, and I would say we would prioritize retaining all of those customers that are in that renewal pool. And so for us, the risk that we thought through is more probably on the NRR side than I would say on the GRR side. And the reason I say that is we do have strong customer set. We do see that customers have positive feedback on the ROI that they're receiving from us. And in the current environment, if there are budgetary constraints that are driving cautionary spend or any of that type of behavior that would put pressure on those renewals, we will approach it in a partnership manner with our customers and our partners and be looking for the right long-term value, economic answer. That's a win-win for both organizations. And that typically manifest as you point out, through the NRR as opposed to a GRR.
Madeline Brooks: Great, thank you so much. That’s it for me. 
Operator: Thank you. There are no further questions at this time. So Mr. Toomey, I'll turn the conference call back over to you.
Kevin Toomey: Great. Thank you. That wraps today's call. A replay of this webcast will be available on our Investor Relations page at secureworks.com, along with our supplemental web deck and additional financial tables. Thank you all for joining us today.
Wendy Thomas: Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines.